Operator: Hello, and welcome to BD's Fourth Fiscal Quarter 2012 Earnings Call. At the request of BD, today's call is being recorded. It will be available for replay through November 14, 2012, on the Investors page of the bd.com website or by phone at (800) 585-8367 for domestic calls and area code (404) 537-3406 for international calls, using conference ID 35734482. [Operator Instructions] Beginning today's call is Ms. Monique Dolecki. Ms. Dolecki, you may begin.
Monique Dolecki: Thank you, Jackie. Good morning, everyone, and thank you for joining us to review our fourth fiscal quarter and year-end results. As we referenced in our press release, we are presenting a set of slides to accompany our remarks on this call. The presentation is posted on the Investor Relations page of our website at bd.com. During today's call, we will make forward-looking statements, and it is possible that actual results could differ from our expectations. Factors that could cause such differences appear in our fourth fiscal quarter press release and in the MD&A sections of our recent SEC filings. We will also discuss some non-GAAP financial measures with respect to our performance. A reconciliation to GAAP measures can be found in our press release and its related financial schedules and in the slides. A copy of the release, including the financial schedules, is posted on the bd.com website. Leading the call this morning is Vince Forlenza, Chairman, Chief Executive Officer and President. Also joining us are David Elkins, Executive Vice President and Chief Financial Officer; Suke Upadhyay, Senior Vice President and Corporate Controller; Bill Kozy, Executive Vice President and Chief Operating Officer; Gary Cohen, Executive Vice President; and Tom Polen, President of Diagnostic Systems. It is now my pleasure to turn the call over to Vince.
Vincent A. Forlenza: Thank you, Monique, and good morning, everyone. Today, I'll begin with a brief overview of BD's performance for the full fiscal year 2012. Then, I'll spend some time highlighting the guidance for fiscal year 2013. After that, David will provide a financial review of the total company and segment performance. Suke will also participate on this call. He will provide you with the framework for fiscal year 2013 and how we are thinking about the various aspects of our P&L. I will spend the balance of our time discussing our performance in emerging markets and the progress we have made in our product pipeline. After that, we'll open the call up for questions. As we stated in our press release, we are proud of our solid finish to the year in a challenging business environment. We delivered on our commitments even after absorbing additional costs from acquisitions. Revenue growth was primarily driven by our BD Medical and BD Diagnostics segments, and we continue to experience strong growth in international safety and emerging markets. We also continue to see a positive impact on our top line from the new product launches and recent acquisitions. We continue to face challenges in our Bioscience business in the U.S. as we expected. The Bioscience business continues to be impacted by an uncertain research spending environment. Our recently announced acquisitions are performing on track. In August, we announced our acquisition of Sirigen Group Limited, a developer of unique polymer dyes that are used in flow cytometry. This new technology is a natural complement to our instrument platforms and reagent portfolio. In our Medical segment, we announced our plans to acquire Safety Syringes, Inc. or SSI. We expect to close on this transaction by the end of the calendar year. This year, we have demonstrated that we're making progress delivering against our strategy. I'd like to highlight 4 key achievements to date. First, strategic opportunities. Our goal is to complement organic growth through bolt-on acquisitions. In the past 18 months, we have completed the acquisitions of Accuri, Carmel, KIESTRA and Sirigen, and we expect to close on SSI by the end of the year. These acquisitions have been nice additions to our portfolio and have contributed about 100 basis points to our top line growth this year. Second, we have expanded our portfolio through new product launches. At our Analyst Day last November, we communicated that we believe we have the most robust pipeline in the company's history. Since then, we've launched 10 new products across our 3 segments. We also expect to launch at least 10 new products in fiscal year 2013, which I will provide more color on later in the call. Our third achievement to date is driving operational effectiveness. We're doing this through our ReLoCo programs, EVEREST and other G&A initiatives, some of which have already started to yield savings in 2012. We're on track to continue delivering ReLoCo savings in 2013 and '14 as we have been communicating to you throughout the year. Our first wave of EVEREST went live in April, and we are continuing to implement this program worldwide with our peak year of spending in 2013. We are also pleased with the performance in our shared service centers. Lastly, I would like to highlight our success in emerging markets. As growth in industrialized markets slowed, we redeployed SSG&A to enable substantial investments in emerging markets. As you know, our incremental investment in fiscal year 2012 was $60 million. We are pleased with our accomplishments over the past several years. From fiscal year 2009, our revenues have increased from $1.2 billion, growing at 8%, to $1.7 billion, growing at 11% in fiscal year 2012. As a percent of sales, emerging markets have gone from 17% in 2009 to 23% in 2012. The execution of our strategy so far has resulted in a more consistent revenue growth profile with acceleration in certain areas of our business along with the operating margin improvement, which we delivered in the back half of this year. We expect that to continue into fiscal year 2013. We believe that our strategy of investing in innovating for growth will succeed, and we've seen evidence that our strategy is delivering results. Now moving on to Slide 5. We've outlined in our fourth quarter revenue and EPS results -- we've outlined our fourth quarter revenue and EPS results, which I will speak to on a currency-neutral basis. As we previously noted in our third quarter conference call, the results of our Discovery Labware business, excluding Advanced Bioprocessing, have been reclassified to discontinued operations. Total company revenues were solid, increasing by 4.7%. Fully diluted adjusted EPS came in at $1.42, growing at 15.2% over the prior year. For the 12-month year-to-date results, revenue growth was 4.3%. Adjusted EPS of $5.37 increased by 4.7%, which was in line with our fiscal 2012 commitment to invest for long-term growth. On Slide 6, you will see the guidance for fiscal year 2013 on a currency-neutral basis. We have also provided guidance excluding the estimated impact of the medical device tax. For fiscal year 2013, we expect revenues to grow about 3.5% to 4.5% and EPS to grow about 7% to 8%. If you exclude the impact of the medical device tax, which we estimate at about $40 million to $50 million, revenue growth, of course, remains unchanged. However, EPS growth is expected to be between 10% and 11%. So we are not predicting any specific issues. The lower end of our guidance range assumes worsening of macroeconomic conditions in the U.S. and Western Europe. The upper end of our guidance range for fiscal year 2013 assumes a macro environment similar to what we are seeing today, general stability in the U.S. with continued headwinds in our Bioscience business and in Europe. It also contemplates the expected closing of SSI by the end of the calendar year. And now I'll turn the call over to David, who will walk you through our performance in the quarter and for the total year.
David V. Elkins: Thank you, Vince, and good morning, everyone. I'd like to begin by discussing the key financial highlights for the fourth quarter. Our fourth quarter results were in line with expectations with revenue growth of 4.7%, so a solid growth in both our Medical and Diagnostic segments with continued challenges in Biosciences as we expected. We saw strong performance in international safety sales and emerging markets. Our recent acquisitions of Accuri, Carmel and KIESTRA contribute about 90 basis points to revenue growth in the quarter. Additionally, during the fourth quarter, we completed about $250 million in share repurchases. As planned and as we have communicated to you throughout the year, we have completed our $1.5 billion share repurchase program. Now let's move on to Slide 9 where we'll review our revenue growth by segment, which I'll speak to on a currency-neutral basis. As I just mentioned, revenue growth was 4.7% for the total company on a continuing operations basis. Pricing erosion in the quarter was about 70 basis points. This is in-line with our expectations as we move past difficult comparisons in the first half of the year. BD Medical fourth quarter revenues increased about 6%. The segment's growth was driven by positive results across all 3 business units. Diabetes Care growth of about 9% was driven by continued strong sales of pen needles, which includes our Nano and BD PentaPoint products. We have a solid quarter in our Medical Surgical Systems unit with strong performance coming from BD PhaSeal product and international sales of safety-engineered products. Pharmaceutical Systems growth was 6.4%. For the total year result, the Medical segment grew about 5%. BD Diagnostics fourth quarter revenues increased 5.1%. Growth in this segment was driven by Preanalytical Systems, which benefited from solid sales of safety-engineered products and strong performance in Diagnostic Systems, which is aided by the strength of our KIESTRA platform. For the total year, BD Diagnostics grew 4.5%. BD Biosciences revenue declined about 0.7% with solid international growth offset by declines in the U.S. For the total year, our Biosciences segment grew 0.7%. Fourth quarter results continue to be unfavorably impacted by the uncertain research spending environment. Moving to Slide 10. I'll walk you through our geographic revenues for the fourth quarter. Overall, BD's reported U.S. revenues were up 1.2% versus the prior year. Growth in our Medical segment was 4.4%. This was driven by strong growth in our Diabetes Care and Pharmaceutical Systems. Growth in Pharmaceutical Systems was driven by low-molecular-weight heparin and sales to biotech customers. Growth in our Diagnostics segment was 0.1%, aided by sales in Preanalytical Systems unit, which grew at 2%. The Diagnostic Systems unit declined 2% partially due to softness in our U.S. Women's Health business. We also saw softness in our GeneOhm and HAI platform, which is similar to the results we discussed last quarter. We expect our sales trajectory to improve with BD MAX now that we have MRSA approval, and we continue to build out the menu on this platform. Biosciences sales in the U.S. for the fourth fiscal quarter declined about 9%. We continue to see weakness in the U.S. research market as well as a tough competitive environment in research reagent sales. We continue to experience lower demand for high-end instruments due to continued funding constraints in the pharmaceutical and biotech research area, as well as in the academic markets. We believe there will continue to be uncertainty in the U.S. research market into calendar year 2013. International revenues grew 7% currency neutral in the quarter with growth coming from all 3 segments. The Medical and Diagnostic segments grew 6.8% and 9.9%, respectively. Revenue growth in these segments was primarily driven by strong sales of safety products and continued growth in the emerging markets. Biosciences grew at 3.5% in the quarter. We continue to see positive results in the Biosciences segment outside of the U.S., particularly in emerging markets. For the total year, reported U.S. revenues grew 1.2% with Medical increasing 3.7%, Diagnostics growing at 1.1% and Biosciences declining about 9%. Total international revenue growth was a strong 6.6% currency neutral with Medical growing 6%, Diagnostics growing at 8% and Biosciences growing at about 6%. Moving to global safety on Slide 11, which includes the PhaSeal acquisition. Currency neutral sales increased 5.8% to $507 million in the quarter. International sales were up 12.7% on a currency-neutral basis with emerging markets growing double digits. Medical safety sales grew 6.4% driven by Infusion Therapy products and our PhaSeal product. Diagnostic safety sales increased by about 5% driven by a range of safety-engineered products. For the total year, safety revenue growth was 8% on a currency-neutral basis. This was due to a combination of strong international growth of 15.6% and a growth rate of 2.9% in the U.S. On Slide 12, we will review our revenue growth in the quarter. Our reported revenue rate declined 1.1%. Performance contributed about 4.7% to growth, offset by 5.8% of unfavorable currency translation. Acquisitions contributed about 90 basis points of growth. Moving to Slide 13. Looking at our gross margin, we experienced a 30 basis point increase, which was in-line with expectations. Efficiency gains from ReLoCo and our continuous improvement initiatives were partially offset by the negative effects of pricing, acquisition-related costs and unfavorable mix driven by lower sales of higher-margin products. Favorable currency translation contributed about 20 basis points. Slide 14 recaps the fourth quarter income statement and highlights our foreign currency neutral results. As discussed earlier, fourth quarter revenues increased by 4.7%. Our gross margin of 51.5% improved year-over-year due to the items I just mentioned. Moving down the income statement, SSG&A increased 4.3%, primarily due to increased investments in emerging markets, our EVEREST implementation and deferred compensation. As a reminder, our deferred compensation expense is generally offset within the interest income line. R&D increased by 11.4%, which is in line with our expectations due to timing of continued investments in our new product portfolio and a relatively low R&D expense in the prior period. Our operating income increased by 4%. The large increase in R&D negatively impacted our operating income by about 3 percentage points. EPS growth in the quarter was about 15.2%, which was aided by the execution of our share repurchase program and a favorable tax rate versus the prior period. Now Slide 15 recaps the total year income statement and highlights our foreign currency neutral results. Revenues grew 4.3%. Gross profit was 2.8%. This is due to margin erosion from pricing pressure, higher raw material costs and acquisition-related costs, which offset productivity gains and our ReLoCo savings. This is consistent with our expectation and what we've been communicating to you throughout the year. Moving down the income statement, SSG&A increased 7% with the main drivers being increased investments in emerging markets and the new product launches, EVEREST, acquisition costs and deferred compensation costs. SSG&A was negatively impacted by about 6 percentage point due to these increased costs in fiscal year '12. These increased costs were partially offset through efficiencies in our G&A infrastructure and other cost-saving programs. For the total year, R&D increased 3% currency neutral, which is in line with our expectations, as we invested in new products and platforms. Operating income decreased 2%, which reflects lower gross profit, increased SSG&A expenses. Again, this is in line with our expectations and what we've been communicating to you throughout the year. EPS growth was 4.7% currency neutral. Before I turn the call over to Suke, I would just like to highlight our solid finish to the year in a challenging environment. As Vince stated earlier, our strategy is continuing to yield results. Emerging markets and international safety continue to deliver strong double-digit growth, and we are seeing a nice improvement in our top line from new product launches and recent acquisitions. We also began to see an improvement in underlying operating margins, and we delivered this in the back half of the year, which we expect will continue into fiscal year '13. The company will also continue to invest in key R&D projects and in new programs to drive operational efficiencies. On a personal note, I'd like to say a few words as this will be my last earnings call with the company. While my decision to leave BD was difficult, I have a new opportunity that makes sense for me and my family right now. I would like to thank Vince and the board for the opportunities they've given me, and I'm proud to be part of a very talented BD team. BD's an outstanding company and has a great future, and I know it is well positioned to succeed. I'm confident that Suke, along with the rest of the team, will ensure a seamless transition.
Vincent A. Forlenza: Thank you, David. This is Vince. I'd like to personally thank David for his 4 years of committed service to BD. He's been an outstanding Chief Financial Officer and a terrific partner since he joined BD in 2008, but we respect his decision to pursue the next chapter of his career elsewhere. The board and I are grateful for his contributions, and we wish him all the best in the future. Now with that, I'll turn the call over to Suke.
Suketu Upadhyay: Great. Thank you, Vince, and good morning, everyone. Turning to Slide 17, I'd like to walk you through our P&L expectations for full fiscal year 2013. As Vince mentioned earlier, the lower end of our guidance range assumes worsening of macroeconomic environment in the U.S. and Western Europe. The upper end of our guidance range for fiscal year 2013 assumes an environment that is similar to what we are seeing today, general stability in the U.S. with continued headwinds in our Biosciences business and in Europe. This also contemplates the expected closing of Safety Syringes, Inc. In summary, we expect revenues to reach about $8 billion with growth of about 2% to 3% as reported or 3.5% to 4.5% currency neutral. This contemplates our Medical and Diagnostic Systems segments growing at about 4% and Biosciences growing about 1%. Earnings per share from continuing operations is expected to grow 4.7% [ph] as reported or about 7% to 8% currency neutral. Excluding the medical device tax, currency neutral EPS growth is expected to be between 10% and 11%. Revenue growth will continue to be driven by emerging markets, new product launches in all 3 of our segments and continued strong growth of safety-engineered devices. Also, we expect the most recent acquisitions of KIESTRA, Sirigen and SSI to contribute approximately 50 basis points of growth to the company in fiscal year 2013. The acquisitions of Accuri and Carmel have annualized and will be included in our base going forward. The growth drivers I just mentioned will be partially offset by the unfavorable impacts of pricing pressure and foreign currency translation. We expect pricing erosion to be broadly in line with fiscal year 2012. We also expect 150 basis points of negative currency translation, which assumes a strengthening dollar against all of our major currency, most specifically driven by euro to dollar exchange rate of $1.27. We expect our gross profit margin to be between 51.5% and 51.7%, which includes about 20 basis points of erosion due to negative currency translations. Underlying gross margin is expected to improve about 40 basis points. Our ReLoCo programs remain on track to deliver the previously-communicated savings. Moving forward, we will guide on the program's overall incremental savings rather than the cumulative net savings. In fiscal year 2013, we expect incremental savings from both programs combined to be approximately $40 million to $50 million. We expect these profitability gains to be partially offset by the impact of pricing, increased pension costs and acquisition-related costs. SSG&A as a percent of sales is expected to be 25.5% and 25.7%. This reflects an incremental $40 million to $50 million related to the medical device tax. Our guidance also reflects continued investment in emerging markets of an incremental $40 million, as well as costs related to new product launches, acquisitions and EVEREST. As a reminder, fiscal year 2013 will be the peak year of spending for our EVEREST project. We also expect increased pension costs as a result of declining interest rate environment. Excluding the 60 basis points impact of the medical device tax, SSG&A will be between 24.9% and 25.1% or growth that is roughly in line with the rate of sales growth. We expect our R&D investments to be in line with fiscal year 2012 between 6.1% to 6.3% [ph] of revenues, as we continue to invest in new products and platforms. As a result of the items I just detailed, operating margin is expected to be between 20% and 20.2% of revenues. Excluding the unfavorable impact of foreign currency and the medical device tax, we expect our operating margins to improve by about 50 basis points. This is in line with our expectations and consistent with what we had been communicating to you over the past year. We expect our tax rate to be between 24.3% and 24.5% as we continue to see improvement from geographic mix. Our cash flow will remain strong with operating cash flows expected to be about $1.7 billion in fiscal year 2013. We plan to repurchase about $500 million in shares, which is broadly in line with historical levels. Our expectations for capital expenditures is about $525 million. While we do not guide by quarter, I would like to note that our revenue and EPS results next year will be more positively weighted to the back half of the year. This is primarily due to the expected contributions from new product launching -- launches ramping up in the second half, as well as the impact of timing due to the investments and other costs. Now I'd like to turn the call back over to Vince, who will walk you through our results in emerging markets and also provide you with an update on our products portfolio.
Vincent A. Forlenza: So thank you, Suke. Moving on to Slide 19, I'd like to highlight our emerging market results. We continue to see strong growth in emerging markets, which accounted for approximately 23.3% of our total revenues in the fourth quarter. Emerging market revenues grew at 13.1%. We continue to see double-digit growth in a number of key markets, with China growing at 23.7% in the quarter, which is in line with our expectations. We're very pleased with safety revenue growth in emerging markets, which was up about 21% over the prior year. We expect to see similar results in emerging markets in fiscal year 2013, as we continue to invest in high-growth areas. We have many exciting opportunities in our pipeline. We have spent the past few quarters discussing our key product launches, and as I mentioned earlier, there were 10 this year. We have highlighted them on slides 20 and 21. Now looking to fiscal year 2013, we have some products that are key to our success going forward. In our Diabetes Care business, the BD Nano has been very successful, and we continue to gain a lot of traction in that space. In our Pharmaceutical Systems business, we are looking forward to our expected closing of SSI by the end of the calendar year. In our Biosciences segment, we have 2 new -- 2 CD4 analyzers that will launch in fiscal year 2014. Moving on to Slide 23. In our Diagnostics segment, we have a number of assays launching on our BD Veritor, BD MAX and Viper platforms. We're also launching our BD Totalys front-end automation system. In addition to these launches, we also expect our KIESTRA platform to ramp up in fiscal 2013. As you've seen over the past few years, our new products as a percent of revenues have increased from 8% in 2011 to 10% in 2012. We expect it to deliver continued improvement in fiscal year 2013 and beyond, as we make progress on our recently-launched and the products we expect to launch in the near term. We look forward to updating you on our pipeline in the weeks and months ahead. Moving on to Slide 24. Before we open the call to questions, I would like to reiterate the key messages from our discussion today. First, we're proud of our solid finish in fiscal year 2012. Despite a challenging macroeconomic environment, we delivered on our financial and operating goals while continuing our ongoing investment in geographic expansion, operating effectiveness, new product platforms and strategic acquisitions. Second, our outlook for fiscal year 2013 is positive, and we are confident we can deliver revenue growth of about 3.5% to 4.5% and EPS growth of 10% to 11%, excluding the medical device tax. Third, we are already seeing sustained revenue growth, operating leverage and improved quality of earnings, as we bring to market our key products and complete our operating effectiveness [ph] programs. Lastly, we are committed to delivering superior value to our shareholders and customers all over the world. Thank you, and we will now open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of David Lewis with Morgan Stanley.
David R. Lewis - Morgan Stanley, Research Division: David or Suke, I just want to kind of come back to your comments -- I think it was Suke -- on pricing. I think last year in fiscal '12, we were aware of one specific product in the U.S. that was driving significant pricing pressure for the company. So I was a little surprised that in fiscal '13, your pricing pressure is scheduled to be kind of equal to fiscal '12. And just anniversary-ing that significant issue, I thought pricing would get a little better. So could you please just walk us through in fiscal '13 other factors that are driving sort of in-line pricing versus '12 versus a slight improvement?
Vincent A. Forlenza: Sure. Suke can do that for you.
Suketu Upadhyay: Sure, David. It's a great observation. You're right. Throughout 2012, we were sort of talking about overcoming the onetime issue that we had with pricing, sort of improving the back half of the year. And '13, you're right. We're staying broadly in line with '12, and that primarily contemplates sort of a challenging macroeconomic environment in Western Europe as well as in other developed economies. So we're just being a little bit prudent with our overall pricing assumption.
Vincent A. Forlenza: So David, we see Southern Europe. We see more pricing pressures there, and we're being conservative to make sure that we have that covered. That's what you're seeing going on here.
David R. Lewis - Morgan Stanley, Research Division: And maybe just one more quick technical question. Vince, on that point, in this year, fiscal '13, you're sort of getting back to the gross margins you saw in 2010, but you're not getting back to the operating margins you saw in 2010. And maybe just help us sort of reconcile over the last 2 to 3 years what you think that disconnect is now being driven from?
Vincent A. Forlenza: Well, the first obvious disconnect, of course, is the medical device tax, which is $40 million to $50 million, and that's the biggest impact. So I think if you look at the performance we're talking about with approximately about a 4% revenue growth and 10% to 11% on the bottom line, I think the consistency of the 50 basis points of operating leverage, I don't think there's any disconnect there. But if you go back over the last couple of years, of course, the major change in the environment has been, number one, the pricing environment, and Suke just talked about that element. The second piece, of course, was the ramp-up in cost of materials. Now going forward into this year, we're saying that those costs are going to be basically about flat. The other element I would point to that's a multiyear phenomena, which is about the last 3 years, has been pension costs, and those have been a significant increase. And lastly, of course, it has been EVEREST, and EVEREST will peak, as we said, in 2013. Suke, do have anything else you want to add to that?
Suketu Upadhyay: I would say, Vince, we also continue to invest in emerging markets, and our growth rates in those regions are quite strong, so we feel really good about that. And then, of course, we've done a number of acquisitions over the last few years, which, of course, has added to our cost base, but these acquisitions actually are performing quite well.
Vincent A. Forlenza: Yes. And really ones that are becoming accretive.
Operator: Your next question comes from the line of Mike Weinstein with JPMorgan.
Kimberly Weeks Gailun - JP Morgan Chase & Co, Research Division: It's Kim here for Mike. So first question maybe for Vince. It looks like you're guiding to 3% to 4% organic growth for '13. And just curious, where do you think your end markets are growing right now? And as you look forward for Becton, how do you think about the company's willingness to take on further dilution for either acquisition or divestiture given your end markets under pressure?
Vincent A. Forlenza: So on the divestiture side, I think the portfolio is in good shape, so I don't see any significant issue there, number one. Number two, from an acquisition standpoint, the ones that we have done early on are starting to become accretive, and of course, we have some dilution from the newer ones baked into the guidance that we just gave you. So we're going to be consistent in terms of doing tuck-in acquisitions. And I think you're going to get to a rolling situation where you have some improving, and then you have some newer ones coming on. So I would think about the dilution that way, small amount of dilution but also being offset by improvement in the earlier ones, as we take advantage of the whole business strategy, which is to leverage them and drive them globally. Now in terms of the end markets, I think what we see right now is, as we said, stability in the U.S. market, which means that they're pretty flat. If they're around 1% or so, somewhere in that range, that's pretty good in the U.S. and Europe. And so you're talking low-single-digit growth offset by double-digit growth in emerging markets, with China growing significantly higher than that. And we're still seeing good growth in Latin America. We're going to watch the health care spending in those marketplaces. What we see right now, Kim, is that the Chinese are continuing to spend aggressively even though the GDP growth rate has come down a little bit. But those are the kind of factors we see for the next couple of years.
Kimberly Weeks Gailun - JP Morgan Chase & Co, Research Division: And then just a follow-up on the expenses that you're going to see in fiscal '13, 2 items, so EVEREST peaks in '13, and the pension expense continues to be a headwind. Is there any way you could quantify the incremental impact from each of those items in '13 versus '12?
Vincent A. Forlenza: Suke is going to talk to that.
Suketu Upadhyay: Sure. So from an EVEREST perspective, we're looking at incremental expenditures of about $10 million, as we plan for our biggest wave going into 2013 and '14. And then for the pension perspective, it's about $10 million year-over-year.
Operator: Your next question comes from the line of David Roman with Goldman Sachs.
David H. Roman - Goldman Sachs Group Inc., Research Division: I wanted just to go a little bit farther into the revenue performance. This year, I think you came out just, I think for the full year, a little bit above 4% FX neutral, which included some acquisition revenue. Next year, includes some acquisitions. And you're saying that the low end of the guidance contemplates a deterioration in end market trends, but it doesn't look as though the low end of the guidance is that far off the organic picture that you're -- that 2012 represented. So I'm just trying to understand how much conservatism you're baking into. So if you could provide a little bit more detail, that would be helpful.
Vincent A. Forlenza: Sure, we can, and Suke can walk you through that. The starting point, of course, is the annualization of some of the acquisitions. But Suke, why don't you just break that out.
Suketu Upadhyay: Sure. So if you think about 2012 foreign currency neutral growth at a BD level of 4.3%, and as we talked about in the presentation, acquisitions contributed about 100 basis points. It's probably closer to 110 basis points. So if you think of it in that terms, your underlying organic growth is somewhere in the low 3s. Let's call it 3.2%. As we move into 2013, as we said, acquisitions will contribute about 50 basis points. So if you think about sort of the midpoint of our revenue range to the upper end of 4% to 4.5%, again reserving sort of the bottom half for a worsening environment, if you take that 4% or 4.5% and take the 50 basis points off our acquisitions, you get to an underlying organic growth that is accelerating year-over-year.
David H. Roman - Goldman Sachs Group Inc., Research Division: Right. So I'm trying to understand how accelerating growth matches up with a deterioration in the environment.
Vincent A. Forlenza: So basically what we're saying, the midpoint of the guidance is pretty much stable environment, and so that if you start to go below that, we're looking at either an event in Western Europe, and that would probably be Southern Europe or some softening in U.S. So those are the kind of things now that we're looking about. In the U.S., it's probably worsening of the bioscience situation, and we're being obviously conservative there.
David H. Roman - Goldman Sachs Group Inc., Research Division: Okay. That's helpful. Then, Vince, maybe just a strategic question for you. If you look at your emerging markets growth this quarter, very nice acceleration from what we had seen over the first 3 quarters of the year and a pretty fast return on that $60 million that you spent. So as you think about resource allocation, why wouldn't you keep putting that type of money into emerging markets and use Europe as a source of funds or reconsider the M&A strategy given that you've seen this quick a return on that investment in emerging markets?
Vincent A. Forlenza: So where we have the opportunity for a very quick payback, we are going to fund it. I mean, it's a great question that you bring up, and so that's certainly in line with our thinking. It's not true that all elements of the investment pay back that fast. So in the right geographies, in the right countries, we agree with you.
Operator: Your next question comes from the line Kristen Stewart with Deutsche Bank.
Kristen M. Stewart - Deutsche Bank AG, Research Division: Question. I just wanted to go back again just kind of on the moving parts within kind of SG&A. I think you had said there was about $40 million. EVEREST, you said was $10 million. Pension was another $10 million. What's the other $20 million? Is that including emerging markets spending?
Vincent A. Forlenza: So we said $40 million in emerging markets. And then Suke broke out the incremental EVEREST, which was $10 million, Suke?
Suketu Upadhyay: That's right.
Vincent A. Forlenza: And then you added the pension costs at another $10 million.
Suketu Upadhyay: Well, the $10 million for pensions all over -- across the P&L. It's $5 million in SSG&A.
Kristen M. Stewart - Deutsche Bank AG, Research Division: And then can you just maybe run through Diagnostics? I know you had mentioned Women's Health was a little bit softer, as well as GeneOhm. I guess what gives you the confidence that those 2 are going to be turning around?
Vincent A. Forlenza: So Tom Polen can speak to that, and I'm sure he's going to talk to some of the progress he's making with BD MAX and some of the other programs. Would you like to do that for us?
Tom Polen: Sure. Kristen, this is Tom. Just around the performance of GeneOhm, so let me just comment on that for the quarter first off. So GeneOhm actually was down for the quarter about 7.9%, driven by, what we shared in the past, related to MRSA competitiveness and pricing pressure. In Q4, we did receive MRSA approval on BD MAX in the U.S., and obviously, we're very focused on driving those new MAX placements. So I think we said before, we are seeing very good early customer demand and excitement around BD MAX, and we do expect though that with that underlying trend that we're now turning around from GeneOhm. We expect that's going to take a few quarters until we see that significant ramp, as MAX solidifies the base and provides additional growth moving forward.
Vincent A. Forlenza: Tom is not in his submarine, but he is off-site. It was difficult to hear. So we thank him for joining the call. He's also got some good opportunities on the Viper platform as well with the launch of Trich in the fourth quarter and HPV coming out.
Operator: Your next question comes from the line of Amit Bhalla with Citi.
Amit Bhalla - Citigroup Inc, Research Division: Just wanted to go back Tom for a second, if you could give us some more detail about TriPath, Cdiff. and some of the STD performance in the quarter as well.
Vincent A. Forlenza: Sure. Tom, can you -- did you hear the question?
Tom Polen: Okay, yes. Amit, this is Tom. Just following back up. So specifically, let me start off with TriPath and cytology. So in the quarter, cytology business just grew over 2%, which is driven by a tale of 2 worlds. First, x U.S., we're delivering very solid, high double-digit growth, as we continue to upgrade customers from conventional path and we see particularly in emerging countries, as they continue to expand their access to cervical cancer screening. In the U.S., the counter to that, we continue to see path volumes pressure due to extended intervals, and we actually saw a higher-than-typical declining in demand for pap testing overall in the U.S. this past quarter. As we look at the STD business, just kind of switching there, on the Viper business, we are up just a percent this quarter. For the full year, our STDs are up 3%, and that's a few points higher volume that we are gaining over the 3% offset partially by pricing pressures in that marketplace. As Vince mentioned in the second half of FY '13, as he stated, we will be launching the Viper LT platform in the U.S. and in Europe starting with GC/CT on a global basis and HPV x U.S. So we expect that to help further accelerate the STD business.
Amit Bhalla - Citigroup Inc, Research Division: And then my second question, on Europe more specifically, I think in the past, you've talked about Spain with $100 million in accounts receivable, but Spain started paying again for you guys. But you guys have alluded to Italy potentially getting worse. Is that what you're starting to see actually happening as you discuss Southern Europe pressure in '13?
Vincent A. Forlenza: So you're right. Spain has resolved itself. We've been paid, so we're in very good position with what's going in Spain. Suke can talk to you about Italy, where it's not really the whole country, but just a piece of Italy. But you want to make some comments, Suke?
Suketu Upadhyay: Sure, Vince. Yes, in Italy, we do have a large accounts receivable balance. As Vince said, it's not problematic across the entire country. It's pretty much isolated to a few regions, and while we do see some large outstanding balances there, we're not seeing a significant increase since the prior year. So while it is large, we are seeing some stabilization there.
Vincent A. Forlenza: And the government is calling for the hospitals to pay. So the situation -- there's a chance that this situation is starting to improve, but we'll follow it closely.
Suketu Upadhyay: Yes. I would say in Italy, the primary concern is more around pricing as opposed to receivables.
Operator: Your next question comes from the line of Jon Groberg with Macquarie.
Jonathan P. Groberg - Macquarie Research: So my -- just, I guess, one quick question on your final point, Vince, I want to follow-up on, which is on the new products. So I think you mentioned that they're about 8% of sales in '11 and 10% of sales in 2012. Can you maybe just talk about what's being required from an investment standpoint, where these products are coming in from pricing standpoint? Are these accretive to results? And I guess just trying to understand how these are able to continue to grow as you talk about launching new products. Are these accretive to your margins and your earnings? Or are you having to invest a little bit more? I'm just trying to understand the impact they're having below the revenue line.
Vincent A. Forlenza: So generally from a gross profit line, they are -- they have a positive impact. Now you have certain product launches, of course, where you have to invest in the launch of the new product on the sales and marketing side, so we're spending against them. And what you're seeing in our expense ratios for this year, the sales and marketing area is the cost to launch those new products as well. As you get scale, of course, you get quite good leverage in these new product areas. So they're all baked into the R&D number, which is about 6% of sales. The uptick you saw in this quarter was really driven by acquisitions and some timing. So you should be thinking about around 6% and then getting gross margin leverage as we get more volume in these areas.
Jonathan P. Groberg - Macquarie Research: Okay. So...
Vincent A. Forlenza: So net-net positive over time.
Jonathan P. Groberg - Macquarie Research: And so for -- do you have like a target if you're -- if it was 8% of '11, say, and 10% of '12? I know the new products are a big part of trying to get this -- the growth back to more historic levels. Do you expect that to be back to like -- what do you expect that number to be in '13 I guess?
Vincent A. Forlenza: Well, we haven't guided that on '13, but we -- I would refer you back to what we were saying was the end of '14 that back in November, I mean, the 10% was done on the same number -- I mean, the same accounting. So 18% by the end of fiscal year '14. That's the goal.
Jonathan P. Groberg - Macquarie Research: Okay, so you're still on -- that's still your goal, okay.
Vincent A. Forlenza: Yes, there's been some puts and takes there, but that's the goal.
Operator: Your next question comes from the line of Matt Taylor with Barclays.
Matthew Taylor - Barclays Capital, Research Division: Just wanted to ask a couple of questions, maybe thinking about the strategy longer term. You talked a lot about '13 here, but just wanted to understand how you're thinking about a couple of your key drivers in terms of the safety tailwind internationally and emerging market growth over a longer period, say 3 to 5 years, and what kind of runway you think you have in both of those areas.
Vincent A. Forlenza: Sure. I'm going to ask Bill Kozy to address those. On the emerging markets, we think we have a long runway there with -- kind of from a modeling standpoint, the next few years, using a consistent growth rate with what we're talking about for '13 is a very good starting point. But we think we're early on in that story especially out in Asia. Bill, maybe you want to comment on the safety piece.
William A. Kozy: Yes, on the safety piece, just to build on Vince's comment, the international market continues to be a focal point for investment and product rollout. As you heard, we had a really good fourth quarter. Remember that the European legislative activity is targeted for a May 2013 implementation. We continue to put significant effort and attention on that, and our safety growth in Asia, particularly in China, continues to be very favorable. So if you were trying to characterize a tailwind, as we move forward, that tailwind both come from those targeted emerging markets where we've got new safety platforms launching as well as Europe.
Matthew Taylor - Barclays Capital, Research Division: That's helpful, and then I just wanted to understand in terms of leverage, can you help us with how you're thinking about producing some operating leverage post these ReLoCo programs? And then obviously, your funding the buyback this year with proceeds from a divestiture. How can we think about buyback going forward?
Vincent A. Forlenza: So in terms of operating leverage, we expect to continue to get gross margin leverage. And as we finish up ReLoCo I and ReLoCo II, we're going to have more operating effectiveness programs. I don't know if we'll call it ReLoCo III, but that is our mindset, okay, in terms of continuous improvement, and we're already working on those sorts of things in anticipation of finishing up ReLoCo I and ReLoCo II. In the SSG&A area, we're still early on in the implementation of our shared service centers. And then lastly, as we get EVEREST in place across the company, we think that, that is going to enable a lot of these G&A savings programs both from a savings standpoint and an effectiveness standpoint. So we look at all of those things. then, you roll in the new products back to the gross margin in terms of some gross margin leverage going forward. Now in terms of share buybacks, number one, we'll have to see what the -- in terms of cash and cash planning, we'll have to understand what the tax situation is going forward. That's obviously very much up in the air. But both parties have said that from a corporate tax standpoint, they have a lot of work to do. And so we'll have a clear understanding of what the environment is that we're living under hopefully over the next 6 to 12 months. But we also have the possibility of bringing back cash from time to time from higher tax countries, and we've done that historically, and we do expect to do that going forward. So yes, this year is kind of a one-off in terms of funding the buyback via a divestiture, but that's not the way we had planned to do them going forward.
Operator: Your next question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein - William Blair & Company L.L.C., Research Division: A question on the TriPath business. The trends that you guys have been seeing with solid all-U.S. growth up in the double digits and the emerging countries. I'm curious where outside the U.S. you guys think we are in terms of that conversion from conventional to liquid-based pap testing. And how many years more do we have of kind of that low-double-digit growth in that business particularly?
Vincent A. Forlenza: So Tom can answer that question, but it's not just about conversion from conventional. It's whole new markets opening up to a pap smear testing. So Tom, would you like to make a comment or 2?
Tom Polen: Yes. So, Brian, this is Tom. As you look at cervical cancer screening x U.S. so if you just take the number of women who are eligible for cervical cancer screening, 90% are not screened today. So if you look at the 10% who are screened outside of the U.S. of eligible women, about 1/3 of them are screened using LBC, and 2/3 are screened using conventional pap. So if you just do the math there and if you start getting up towards developed market screening rates, there's quite a long ways to go just in terms of expanding access for women, as well as opportunity to continue to convert conventional to LBC. As Vince mentioned, I'm calling in from outside the office. I'm in Tokyo right now. And I think here in Japan is a great example that it is an x U.S. market but a very developed market but one in which only 25% of women in Japan have ever had a routine cervical cancer screen. So even in markets like this, there's still significant growth, as the governments are continuing to expand screening programs. And we see that not only in more developed markets like Japan, but certainly, in markets like China and India, throughout Latin America. And so we see certainly for the next several years that x U.S. growth around cervical cancer screening to be a continuing trend. Obviously, we'll be supplementing that.
Brian Weinstein - William Blair & Company L.L.C., Research Division: And do you think you're taking -- sorry.
Tom Polen: I was just going to say of course we'll be supplementing that with the algorithm that the country chooses, as we launch our HPV genotyping assay in the second half of FY '13.
Brian Weinstein - William Blair & Company L.L.C., Research Division: Okay. And then I haven't had a chance to kind of compare what you guys said this quarter versus last on the program and product launch updates, but were there any delays in any of the programs that you guys highlighted? Or is everything still on schedule from where it was last quarter?
Vincent A. Forlenza: We've talked about the fact that the 2 small analyzers .
Tom Polen: I believe...
Vincent A. Forlenza: I'm sorry, Tom. In the overall program, the 2 small analyzers for Biosciences are now 2014. Tom, any changes on your products?
Tom Polen: No, not significantly [ph] . We highlighted last quarter, the Totalys being one quarter delayed, but all other assays and programs remain on track.
Operator: Your next question comes from the line of Eric Criscuolo with Mizuho.
Eric Criscuolo - Mizuho Securities USA Inc., Research Division: Just filling in for Peter. So on the $20 million noncash pension charge, was that realized in other income?
Vincent A. Forlenza: Go ahead, Suke.
Suketu Upadhyay: Sure. So that $20 million would have been realized throughout the P&L. Some of it was held in gross margins, as well as SSG&A and R&D as well.
Eric Criscuolo - Mizuho Securities USA Inc., Research Division: Okay. So it was fairly distributed then more or less?
Suketu Upadhyay: That's right.
Eric Criscuolo - Mizuho Securities USA Inc., Research Division: And then the interest income, looks like it increased about -- it almost doubled actually from last quarter. Was there anything behind that?
Suketu Upadhyay: Primarily around deferred compensation where we had an uptick in the return on assets there. But as we've said before, you generally see an equal offset in SSG&A.
Eric Criscuolo - Mizuho Securities USA Inc., Research Division: And then just lastly, quickly on the Diagnostic pricing pressure that you've seen, have they gotten worse? Or are they stable?
Vincent A. Forlenza: I would say they're generally fairly stable. Tom?
Tom Polen: Yes, this is Tom. Just I would say fairly stable within that MRSA space and in the STD space where we have seen them not deteriorating further but stable.
Operator: Your next question comes from the line of Bill Quirk with Piper Jaffray.
David C. Clair - Piper Jaffray Companies, Research Division: It's Dave Clair in for Bill Quirk. The only one for me, I was just hoping you could quantify the impact of ReLoCo in 2012. And are you still expecting $50 million to $60 million in savings in 2013 from ReLoCo?
Vincent A. Forlenza: Yes, go ahead, Suke.
Suketu Upadhyay: Dave, this is Suke. So as we stated through the presentation, we are on track to deliver what we previously communicated, so the $50 million to $60 million on ReLoCo I at total annualized savings. But as we said, combined both programs, ReLoCo I and II, would be an incremental $40 million to $50 million in 2013. So we did see some benefits, net benefits from ReLoCo I in 2012. We've not sized those. I think the important thing here is the $40 million, $50 million we're talking about in '13.
Operator: Your next question comes from the line of Jonathan Palmer with CLSA.
Jonathan J. Palmer - Credit Agricole Securities (USA) Inc., Research Division: Question on these programs. Could you discuss how the ReLoCo and EVEREST spending steps down through the end of these programs?
Vincent A. Forlenza: So Suke can address that. But EVEREST what we're seeing is flattens out, as we start to amortize the system as more and more -- as we get further around the go live, as we go through the different phase. And then in terms of ReLoCo spending, what we would expect is that we're talking about the net benefit here. So that is -- that's going down, and you're starting to see the benefits. And as Bill Kozy was mentioning before, we would start to work on other cost-saving programs, which are not completely defined right now. Suke, anything else on that?
Suketu Upadhyay: No, I think you characterized it well, Vince. The important thing is, well, we're not guiding on '14. As Vince said, we expect EVEREST to sort of flatten out, so we would not see or expect to see a major tailwind into '14 on that. And then with ReLoCo, again, we're coming out of investment mode on ReLoCo I. We're still in investment mode on ReLoCo II, however, delivering net benefits.
Vincent A. Forlenza: And then you should expect continued net benefits incrementally in '14 as well because we said ReLoCo II hits in '14, a good chunk of that anyway.
Jonathan J. Palmer - Credit Agricole Securities (USA) Inc., Research Division: And then maybe could you just dive deeper into this onetime pension expense. What exactly was that? And was that something that was within your control?
Suketu Upadhyay: So overall, it was a $20 million charge in the fourth quarter. It's really composed of 2 items. About 75% of that was due to a plan, a small plan we have in the U.S It's a spillover plan, which takes into consideration contributions over IRS limits. Since it's such a small plan, it's very sensitive to large lump sum distributions. We did have some of those large distributions in the fourth quarter, which required a remeasurement, and therefore, we had to record again a noncash and what we expect to be a nonrecurring charge. The other, say, 25% of it related to a plant closure in Sweden where we completely settled the -- and closed out the pension liability, so again, a nonrecurring event. So both of these we see as non-core to current and future earnings.
Vincent A. Forlenza: And certainly, the first issue was not under our control.
Jonathan J. Palmer - Credit Agricole Securities (USA) Inc., Research Division: Understood. And then maybe lastly, if I can touch on Bioscience for a second, could you talk qualitatively about the growth expectations between U.S. and international? What I'm really wondering is on the U.S. business, do you expect the declines there to calendarize? Or really continue to decrease throughout the year?
Vincent A. Forlenza: Bill, would you like to address Biosciences?
William A. Kozy: Sure. As I think you heard in some of the guidance comments that were made, we're treating Biosciences as kind of an ongoing challenge with the bulk of the top line growth coming from outside the U.S. and the U.S. market on a stand-alone basis being challenged, with Europe also being a kind of a developed market low-level grower. If you were to use '12 as an example -- and I think you probably saw some of this -- but our emerging markets grew at double digits, and our developed markets, Europe, U.S., grew at negative low single digit. So you get a minus 2%, 3% going in those develop markets. You get a positive low-double-digit growth going in those emerging markets. And that's the way we see it at least over the next 12 months. We're not really looking beyond that at this point in time. We're taking it kind of a year at a time.
Operator: Your next question comes on the line of Alex Morozov with Morningstar.
Alex Morozov - Morningstar Inc., Research Division: Maybe just a follow-up on the Biosciences. In your 2013 base guidance for the segment, how are you looking at the sequestration and its impact on the performance?
Vincent A. Forlenza: So how are we looking at sequestration? Basically, what we're saying is there's going to be uncertainty throughout the year, and so the market is generally going to continue to be paralyzed because they're going to be working on this deal. So we're not assuming a deal and a rapid turnaround.
Alex Morozov - Morningstar Inc., Research Division: And a related question to the one on new product introductions. It looks like you're guiding a moderate acceleration in the R&D spend again for 2013, a more or less continuation of what we've seen over the past few years. Is this step-up more indicative of this new product boast that you guys are forming -- currently working? Or is it still top line weakness? How should we be looking at the R&D spend going forward?
Vincent A. Forlenza: The R&D spend, you should think about innovations going to continue to be an important part of our strategy. But around 6% or just above 6% is kind of where we're targeted now. I don't see that changing in the short run.
Operator: Your next question comes from the line of Kristen Stewart with Deutsche Bank.
Kristen M. Stewart - Deutsche Bank AG, Research Division: I guess just one follow-up just kind of overall. You had mentioned for fiscal '13, it was going to be more back-end loaded, and a lot of that was just kind of timing of spending I assume. How back-end loaded, I guess, are you talking as we look at kind of numbers heading into kind of the first quarter?
Vincent A. Forlenza: Kind of the pattern.
Suketu Upadhyay: Yes. So it really, Kristen, follows more along the revenue line. We expect about 100 basis points of increased revenue in the second half versus the first half.
Operator: That was our final question. I'd now like to turn the floor back to Vince Forlenza for any closing remarks.
Vincent A. Forlenza: Sure. Well, thank you, all, for participating. We're looking forward to a strong 2013. As I said in my remarks before, we're excited about our opportunities in emerging markets, the new products we're launching and the fact that we're making good progress with our cost-reduction programs. So we look forward to updating you on all of those initiatives as we go forward during the year. Thanks very much.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time, and have a wonderful day.